Operator: Good day everyone and welcome to the Third Quarter 2023 ServiceNow Earnings Call. Today's call is being recorded. All lines have been placed on mute to prevent any background noise and after the speaker's remarks there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Darren Yip, Vice President of Investor Relations. Please go ahead, sir.
Darren Yip: Good afternoon and thank you for joining ServiceNow third quarter 2023 earnings conference call. Joining me are Bill McDermott, our Chairman and Chief Executive Officer; Gina Mastantuono, our Chief Financial Officer; and CJ Desai, our President and Chief Operating Officer. During today's call, we will review our third quarter 2023 results and discuss our guidance for the fourth quarter and full year 2023. Before we get started, we want to emphasize that the information discussed on this call, including our guidance, is based on information as of today, and contains forward-looking statements that involve risks, uncertainties, and assumptions. We undertake no duty or obligation to update such statements as a result of new information, or future events. Please refer to today's earnings press release and our SEC filings, including our most recent 10-Q and 2022 10-K for factors that may cause actual results to differ materially from our forward-looking statements. We'd also like to point out that we present non-GAAP measures in addition to, and not as a substitute for financial measures calculated in accordance with GAAP. Unless otherwise noted, all financial measures, and related growth rates we discuss today are non-GAAP, except for revenues, remaining performance obligation or RPO, current RPO, and cash and investments. To see the reconciliation between these non-GAAP and GAAP measures, please refer to today's earnings press release and investor presentation which are both posted on our website at investors.servicenow.com. A replay of today's call will also be posted on our website. With that I'll turn the call over to Bill.
Bill McDermott: Thank you, Darren, and thank you everyone for joining us today. On behalf of Gina, CJ, and our entire company, I'd like to first make a brief statement about recent events. ServiceNow has a very special team in Israel. One of our own colleagues Shlomi Sividia was at the Supernova Music Festival. He was murdered in the unprecedented and heinous attack. Shlomi was highly respected, admired, and a good friend to many. We stand in solidarity with our team and with their families. Terrorism has caused the unfathomable humanitarian crisis and now engulfs millions of people in Israel and Gaza. Our hearts pray for the innocent on all sides. Even with optimism in short supply, we choose to honor the dream of a peaceful and prosperous future for the Middle East region. God bless and protect all those in harm's way. Now for business. Of course, that's the reason we're here to discuss ServiceNow's Q3 results. We're proud that our company once again delivered beyond expectation. ServiceNow has delivered subscription revenue that grew by 24.5% in constant currency, over one point above our guidance. cRPO grew a strong 24%. That's 2.5 points above our guidance. Operating margin was 30%, more than 2.5 points above our guidance. We had 83 deals greater than 1 million in net new ACV, up from 69 a year ago, a 20% increase year-over-year. Our focus on landing the right new customers, continued to deliver. Large new logo growth accelerated for the third consecutive quarter. ServiceNow's traction as the intelligent platform for end-to-end digital transformation has intensified. All of our workflow businesses were in 14 or more of the top 20 deals, ITSM, ITOM, ITAM, security and risk, customer, employee, and creator. Within our technology workflows, security and risk had a very strong quarter, with 10 deals over 1 million. Employee workflows had a stellar quarter with seven deals over 1 million and one deal over 10 million. From an industry perspective, this was the best US Federal quarter in ServiceNow's history. NNACV was up over 75% year-over-year. US Federal agencies are standardizing on a single platform with a core set of end-to-end solutions. We had 19 federal deals over 1 million, including three deals over 10 million. Our top deal in the quarter, the United States Air Force was the third largest deal in the company's history. You'll hear from Gina that this performance has heightened our confidence for a strong Q4. We're increasing the full year guidance on the top line and the bottom line and here is the key takeaway. AI has strengthened the market dynamics for enterprise software. ServiceNow is the fastest-growing company in this market at relative scale. We have the highest rule of 50 plus across our peer set with the highest growth of any other large-cap software company. We are the best performing enterprise software company to IPO. This is a unique, highly differentiated company that is rewriting the benchmarks to be best-in-class in the SaaS industry. Looking beyond the quarterly results, while the world's challenges are sobering, the digitization imperative is stronger than ever. Gartner forecasts that $3 trillion will be spent on AI and GenAI between 2023 and 2027. GenAI represents 36% of AI spending overall. We believe every dollar of global GDP will be impacted by AI over the next several years. This isn't a hype cycle. It is a generational movement. In the last year, ServiceNow has doubled down on our AI investments. Our Vancouver release includes generative AI-powered Now Assist for every workflow. Others issued press releases. We released product. At ServiceNow, our strategy isn't about exuberance. It's about execution. We carefully laid the groundwork for success and talent and resources and technology. This investment is accelerating our already robust pipeline with customers lining up to be first-movers in this next wave of business transformation. The question we've been asked repeatedly, does AI drive growth? The definitive answer is, yes, it does. GenAI represents a tailwind of growth for ServiceNow. We have over 300 customers in our pipeline from every industry, every buying center and every stage of testing. Our GenAI SKU drove the highest number of customer requests for a pre-release product in our history. We launched Vancouver on September 29th. That left us one day in Q3 to sign deals, and we signed four large deals. A US government agency selected our premium SKU offerings, to be an early adopter of GenAI. Real estate leader, CBRE is harnessing generative AI with ServiceNow to deliver superior service to customers and employees, while reducing costs. NVIDIA is accelerating its own ServiceNow journey with generative AI. Among other leading companies, Teleperformance joined ServiceNow's AI Lighthouse program. They will collaborate on new generative AI use cases that boost productivity while increasing customer and employee satisfaction in key industries. We have a wide range of other customer wins in the quarter as well. FedEx is using ServiceNow to simplify their IT workflows, while building a universal employee portal to improve employee experience for a 0.5 million global employees. One of the world's largest automakers selected ServiceNow to help consolidate dozens of applications into a new modern platform to accelerate their push into the EV market. Philips, Mars, Bank of California, Cleveland Clinic, the US Department of Defense, Fujitsu, Asahi Mutual Insurance, and the State of California are among many others. We see a meaningful path for all customers to recognize value from generative AI, in the quarters to come. Our innovation velocity is very high. Pipeline is growing fast and capacity to execute is well proven and this is just the beginning. Looking holistically at our business, we see progress everywhere. We have an aspiration to significantly increase the percentage of net new revenue, sourced by our partners in the coming years. This is about partners making the ServiceNow platform the core of their emerging business models. One exciting example is our customer Trane Technologies. They are a global climate innovator, which recently announced plans to acquire ServiceNow partner Nuvolo. With Nuvolo, Trane Technologies can bring world-class digital solutions, engineered on the ServiceNow platform to their global customer base. This creates a flywheel effect to ServiceNow, more use cases, drive more workflow automation. And today, we're excited to share that Deloitte and ServiceNow announced an expansion to our alliance. Deloitte will become a pioneering partner, integrating our generative AI capabilities into their leading operate services globally. This addition underscores Deloitte's commitment to enhance performance with cross-industry solutions built on the ServiceNow platform. We're also scaling our ecosystem globally, with today's announcement of a co-investment in ANSR, a market leader in enabling companies to scale technology centers. Another area that we expect to fuel long-term sustainable growth is industry verticalization. Our product development roadmap is expanding with use cases and telecommunications, financial services, retail and the public sector. And beyond any one industry, we increasingly see both intra and inter-enterprise workflow opportunities on the ServiceNow platform. This new generation of business networks is creating value chains that transcend traditional business boundaries. Our rapid pace of workflow innovation creates an even greater demand for our training and skills initiative, RiseUp with ServiceNow. As one example, FutureSkills Prime, a digital skilling initiatives of the Indian government will train thousands of learners across India in new digital skills. This partnership offers clear pathways to build careers as businesses worldwide grow at ServiceNow workforce. Bottom line this all points to grow at ServiceNow. In closing, we are building a company for the ages, by concentrating on customer value, we are creating immense shareholder value. At a strategic level, we chose to set the bar high, to be the defining enterprise software company of the 21st Century. We have an inspired team that is committed to our exponential dream. A company is only as great as each member of the team and the team is only as great as the company. That is what culture is all about. Our employee engagement scores increased across the board this year, so did our retention rates, which are already best-in class. We never went for layoffs. We went for thoughtful, careful expansion. When you look at the ongoing momentum from Knowledge '23, it's clear the approach is working. A profitable growth profile of this company speaks for itself. The market is there for us and now we're focused on Q4, delivering a strong full year and a fast start in 2024 as well. Thank you for your time today. I look forward to your questions. Now, I'll turn it over to our outstanding CFO, Gina Mastantuono. Gina, over to you.
Gina Mastantuono: Thank you, Bill. Q3 marks another quarter of strong execution, as we once again significantly surpassed the high end of our topline growth and profitability guidance metrics. ServiceNow continues to demonstrate its resilience as the intelligent platform for end-to-end digital transformation. Customers are seeking enhanced productivity solutions in the current macroenvironment and ServiceNow is delivering. In Q3, subscription revenues of $2.216 billion, growing 24.5% year-over-year in constant-currency, exceeding the high end of our guidance range by over 100 basis points, amazing organic growth at massive scale. RPO ended the quarter at approximately $14.4 billion, representing 23.5% year-over-year constant-currency growth. Current RPO was approximately $7.43 billion, representing 24% year-over-year constant-currency growth, and a 250 basis point beat versus our guidance. As Bill highlighted, Federal has best net new ACV quarter ever, growing over 75% year-over-year. I want to give a quick shout out to the Federal team, who has just been crushing it. Among the other industries, transportation and logistics was very strong, growing over a 100% year-over-year, followed by education, which grew over 75%. Manufacturing and CMC also saw robust growth. We had some outstanding achievements from a workflow standpoint as well. I'm pleased to announce that Creator Workflows crossed 1 billion in ACV in Q3, a monumental milestone, and our Employee Pro SKU saw over 100% growth in net new ACV year-over-year. Retention remained exceptional with the renewal rate of 98% in Q3 reaffirming the essential role the Now Platform plays in our customers' operations. Our customer cohorts displayed solid expansion as the quarter closed with 1,789 customers contributing over 1 million in ACV, with 58% year-over-year growth in those contributing over $20 million. In Q3, we successfully closed 83 deals greater than 1 million in net new ACV, with four deals greater than 10 million. Notably, 18 of our top 20 net new ACV deals included eight or more products. By launching at the end of the quarter we have already -- we have also already closed four GenAI-related enterprise deals and we're seeing strong pipeline build for our plus SKUs. Turning to profitability, non-GAAP operating margin was 30%, over 250 basis points above our guidance, driven by disciplined spend management, and the top-line outperformance. Our free cash flow margin was 9%, up 300 basis points year-over-year. We ended the quarter with a robust balance sheet, including $7 billion in cash and investments. In Q3 we repurchased, 0.5 million shares as part of our first-ever share repurchase program, with the primary objective of managing the impact of dilution. As of the end of the quarter, we have approximately $1.2 billion remaining of the original $1.5 billion authorization. Together, these results continue to demonstrate our ability to drive a strong balance of world-class growth, profitability and shareholder value. Moving to our guidance. We are raising the full-year outlook to reflect the strength of Q3. As we have done all year, we continue to prudently factor the macro cross-wins into our guidance. This includes incremental FX headwind from a strengthening US dollar. For 2023, we are raising our subscription revenues outlook by $48 million at the midpoint to a range of $8.635 billion to $8.640 billion, representing 25% year-over-year growth or 25% on a constant-currency basis. We're also raising our full year operating margin target from 26.5% to 27%. And we continue to expect subscription gross margin of 84%, free cash flow margin of 30%, and GAAP-diluted weighted average outstanding shares of 206 million. For Q4, we expect subscription revenues between $2.320 billion and $2.325 billion, representing 24.5% to 25% year-over-year growth or 23% to 23.5% on a constant currency basis. We expect cRPO growth of 20.5% or 21% on a constant currency basis. Notably, the strength of our federal business has resulted in a higher mix of 12-month contracts that will create a one point headwind to Q4 cRPO growth and remain a headwind into 2024. We expect that these contracts will renew in 2024 as ServiceNow's federal contract renewal rate are 99%. We expect an operating margin of 27.5% and we expect 206 million GAAP-diluted weighted average outstanding shares for the quarter. In conclusion, our team delivered an exceptional performance across the board. With a culture focused on customer success, our people have worked relentlessly to provide solutions to meet enterprise's needs, and it's showing in our robust results. Businesses are looking to consolidate vendors and standardize on a platform with a core set of products, so they can build a predictable and reliable roadmap to drive digital transformation. ServiceNow is that strategic platform. With the addition of our Vancouver release, and the capabilities presented by GenAI, the window of opportunity is even more expansive than ever before. The result is a more powerful, and intelligent platform, that enables customers to ignite end-to-end action, across the enterprise in ways not seen before. It's an exciting opportunity to further improve productivity, and employee satisfaction, optimize processes, reduce costs, and create organizational agility. The possibilities are endless. Bill and I extent our gratitude to all our employees worldwide for their unwavering dedication and commitment that puts us at the forefront of this opportunity, and further driving ServiceNow towards its ambition of becoming the defining enterprise software company of the 21st Century. With that, I'll open it up for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Thank you. If I look at the mix in product -- on the product side, it looks like ITSM and ITOM was very strong this quarter. Can you little bit speak to that? I sense it's probably the big Federal deals, but maybe more broadly what you see in the different product categories. Many thanks and congrats from me.
CJ Desai: Hey, Raimo, thank you so much, this is CJ, for the question. Great to hear from you. ITSM and ITOM which we define from a solution perspective as service operation is code of our core. So, as Bill outlined that we had very strong new logo business, and new logos that matter, where we almost always plan with ITSM and ITOM, and in general, we are seeing that ITSM continues to have expansion rates, whether it's via Pro SKUs, or just recently added Pro Plus, and with ITOM and our AIOps strategy, we continue to execute on not only the product roadmap, but how our customers are leveraging those innovations from visibility all the way to health in that digital real estate.
Raimo Lenschow: Thank you.
CJ Desai: Thanks.
Operator: We'll take our next question from Kash Rangan with Goldman Sachs.
Kash Rangan: Hello. Thank you very much. Congratulations, Bill, CJ, and Gina. Outstanding results. Bill, we've -- we've all been waiting for this recession. Some houses have been calling for a hard landing, and some others aren't. It looks like we've been waiting for ever since the recession to happen, it's not happening. And I'm sure that CEOs that you do business with are -- have been somewhat cautious the last three to four quarters, but it looks like things are stable, and with the tailwind of potentially a soft landing, if I could use that expression, a software landing and AI, as wind -- as wind in your sales, what does the company's growth prospects look like in '24 versus the last couple of years that we've all been slogging through this, granted that you have been executing really well outperforming your peer group. What does the growth curve look like with all these tailwinds ahead of you? Thank you so much and congrats.
Bill McDermott: Well, Kash, thank you. I think that's the reason why we've raised our guidance on top of an outstanding quarter like this because we have great confidence in the core business. All CEOs right now are either in a move to increase productivity because of the crosswinds that you referenced in the macro or take costs out. And obviously, while doing so, they also have the added challenge of new business model innovation, such as the auto industry, now dealing with the transition to EV. What's unique about ServiceNow is digital transformation can deflect so many of the cost, and hence the labor-intensive procedures that companies have to deal with to properly serve their market. On top of that, you have one-third of the productivity of knowledge workers getting torn apart by swivel chairing between on average 13 individual applications a day. Now you add the productivity tailwind of generative AI on this once-in-a-generation ServiceNow platform, and you have achieved a very important business transformation. And I think right now, CEOs are focused on business transformation, and when you can give them one common UX that is consumer-grade, that integrates with a half-a-century-old legacy mess that they have to contend with, and we can get the actions that they need done, done, done to achieve cost-out productivity and growth on, they're all about ServiceNow now, and that's why you're seeing these results, and they are sustainable.
Kash Rangan: Amazing. Thank you so much. Very inspired.
Bill McDermott: Thank you, Kash.
Operator: We'll take our next question from Tyler Radke with Citi.
Tyler Radke: Yes. Thank you very much for taking the question. So, the beat on constant-currency current RPO was one of the largest we've seen in quite a while. Could you just unpack was that mostly federal, or was it broad based? And then secondly, Gina, on the current RPO outlook for Q4, can you just help us understand the dynamic with the one point headwind a little bit better? Did Q3 also face that headwind given you booked so many of these large federal contracts? Thank you.
Gina Mastantuono: So, thanks. Tyler, thanks so much for the question. So yes, we're very excited. Q3 results were just phenomenal across the board, and the beat on constant-currency cRPO was two things, specifically strong net new ACV growth, and that was primarily driven, but not entirely, primarily, not entirely driven by very strong federal business, which was just fantastic and great business for us. We also did have better federal early renewals. If you remember, we've been really prudent in how we've been forecasting early renewals, given the current macroenvironment. And so the beat this quarter was two-pronged right. So strong net new ACV growth as well as strong early renewals. To your question on the impact of Q4 cRPO and the one point headwind, how Federal agencies usually contract is one year out, right. So their contracts are only 12 months in duration. So it doesn't have a negative impact on Q3, right, because at the end of Q3, you have it in their peripheral year. But at the end of Q4, with one quarter of those contracts roll-off cRPO, it means that there is a headwind to Q4 and because Q4, sorry, because Federal was so strong, and the mix of federal in Q3 was stronger than we've ever seen before, there is that headwind into Q4. But again, as you think about the underlying business, extremely strong results, in fact, Federal business has a strong renewal rate at 99%. So as you think about the underlying health of the business going into '24, it remains very strong.
Tyler Radke: Thank you.
Bill McDermott: Thanks.
Gina Mastantuono: Thanks, Tyler.
Operator: We'll take our next question from Keith Weiss with Morgan Stanley.
Sanjit Singh: Yeah, this is Sanjit Singh for Keith. I wanted to congratulate the team on the 24% constant -- on the current RPO growth. That was really impressive. You know, Bill, when I looked at what you were talking about in terms of GenAI trials, and landing four customers right at the end of the quarter, in terms of your -- the team's expectation about adoption of IT -- ITSM Pro Plus versus Pro, is there -- do you see a scenario where that adoption could potentially happen faster than the cadence of adoption that you've seen over the last five years with ITSM Pro? I appreciate the -- I appreciate the thoughts.
Bill McDermott: Well I can -- I can tell you that we, first of all, I appreciate your question, Keith. You know how well we have done with the Pro version of the platform and there's still plenty of room to expand on that, but the demand that we've seen so far for Pro Plus, and the transformational nature of what customers are now able to do on the Now Platform has led to the single best type that we have seen at ServiceNow. I'll let CJ give you some color on individual customers and some of the actual stories that, I think, you'll find illuminating.
CJ Desai: Absolutely. Thank you, Bill, and thanks for the question. So, we have one data point from the last week of September, which, I do not want to translate it to trend. However, we are having many, many conversations with some of the iconic companies, and public sector customers, around ServiceNow's generative AI offering. So when we launched in 2018 Q3 the Pro SKUs, that was a curve that followed over multiple quarters, now 20 quarters, and we know what that looks like. With Pro Plus, what I'm seeing is, it is no longer about the potential of generative AI, where they are questioning is generative AI good for us in context of ServiceNow platform, but the conversations have shifted to, hey, CJ, how long would be -- would it take for us to implement? Does our data strategy need to be aligned, and what about the security, et cetera. So the positive side of this is that we are seeing good demand, and on the cautionary side is, we will work with our customers. They are learning. Like Bill said, the four customers who leaned in and bought our products on the last day of the quarter, but as we move forward, we'll work with these customers, and as we get a couple of quarters under the belt, we will be able to tell you how this is looking versus Pro. So Pro Plus versus Pro.
Sanjit Singh: I appreciate the additional thoughts, CJ. Thank you very much.
Bill McDermott: And Keith, one thing to keep in mind is Pro is the necessary stepping stone to Pro Plus. So, from a shareholder value creation standpoint, it's plus-plus.
Sanjit Singh: Well noted. Thanks Bill.
Bill McDermott: Thank you very much, Keith.
Operator: We'll take our next question from John DiFucci with Guggenheim.
John DiFucci: Thanks for taking my question. And Gina, thanks for all the detail around cRPO. That's really helpful in understanding that metric and I know we've talked about this in the past, but I mean that it's helpful. My question is really around the federal business, which is really -- it's been really strong for at least a year more than offsetting any commercial weakness when it happens like maybe a year ago or so. And just adding to what -- at least what I think is surprising commercial strength as cash sort of hit on that in periods like this quarter. I guess my question is, how sustainable is that federal business in regards to new ACV, which it sounds like it just continues. It's like the energizer bunny, it just sort of keeps on giving.
Bill McDermott: Yes. John, I'll start off and then let Gina give you some of her color as well. But our federal business, as I said, had the biggest quarter in ServiceNow's history with 75% year-over-year growth in NNACV, and we had 19 deals that were more than 1 million, including three over 10 million with the US Air Force as the third biggest deal in the history of ServiceNow. And what we're seeing is across all areas, federal agencies are really looking to consolidate contracts, point solutions, the messy middle, and they really want to standardize on a platform with a core set of products that they can grow with. And our GenAI offerings, for example, are really reinforcing our ability to help accelerate their transformation journey, and they're seeing really tremendous opportunity in GenAI on our platform. And we're already seeing early adopters show an interest in domain-specific models, which offer better security, as CJ said, and we're working with some agencies that I can tell care a lot about security. So I think it's really a tribute to ServiceNow's engineering and the way ServiceNow runs our cloud and the manner in which we care for our customers at a deep technical level and they know that they can count on that. And every agency where we've done business is highly referenceable and they're telling our story to other agencies for us. It's really a beautiful force multiplying situation. But I want to leave you with one thought. We're only getting started. With federal, with state, with local, the business transformation that's going to go on in the next decade across all of those categories will play beautifully into our growth agenda, and we'll continue to service it with 100% customer satisfaction. We are fired up with what we're able to do to transform government and make it run like a best run business.
Gina Mastantuono: The only thing, I would add, and Bill, fantastic answer. The only thing, I would add, John, is that, this is durable demand. The Federal agency's digitization agenda is only growing, and the success that we've had at Federal, we absolutely have the ability to replicate that outside of the US and public sector around the world.
John DiFucci: Thank you very much.
Gina Mastantuono: Thanks, John.
Bill McDermott: Thank you, John.
Operator: We'll take our next question from Mark Murphy with JPMorgan.
Mark Murphy: Thank you very much. Bill, the level of confidence that we hear from SIs on maintaining this kind of 20% plus growth trajectory for their ServiceNow practices is truly standing out across the software landscape. One of them surveyed their customers, and the top three topics of interest that came back were Microsoft, Azure, and ServiceNow. So, just in light of that, that joint prioritization there, could you shed a little light on traction with your Microsoft relationship? Is that kicking in already at this stage, and are you able to go to market as a bit of a one-two punch with the Azure co-pilots and Now Assist?
Bill McDermott: Yeah. I'll start off, and then please, CJ, feel free to add your opinion on this as well, but our partnership with Microsoft is really geared to open additional addressable market for ServiceNow. And we're doing that by creating and expanding co-sell motion with Microsoft's enterprise sales teams. So that would talk to one-two punch, and ServiceNow is really helping streamline their migrations to Azure, while Azure exposes us to a much wider spectrum of customers. So we saw the partnership influence deals across geos in Q3, including government wins in Americas, and APAC as real driving forces between both Microsoft and ServiceNow. And we really are confident that the partnership, and the synergy with Microsoft does enable us to bring value to more customers, and do so at an unprecedented speed, and I do want to say, that we've been friends, with Satya and myself on a personal level for a long time, and we've done a lot of business together, and the friendship that exists with CJ and the engineering team at Microsoft is very rock-solid, and we trust each other, and we see that our mutual interest is better by working together, but also, we're doing it in the name of the customer. And I think that's the big thing. And I just want to complement CJ and our engineering team, not just for the 5,00 new innovations they brought to the platform this year, that would have been enough, but also for the hands-on relationship with great partners like Microsoft because you got to remember, everything we have has been integrated into Microsoft, from Office 365, to Dynamics, to Teams, to Azure, to AIOps, it's pretty -- pretty amazing when you think about the engineering work and talent that went into putting this together. So this isn't just by let's go to market and two is better than one. This is deep technical integration to serve customers at an unprecedented level.
CJ Desai: Bill, you said it well. Mark, the only thing, great to hear from you. The only thing I would add is the engineering collaboration is absolutely necessary, but not sufficient when it comes to go-to-market partnership and relationship we have, working with Microsoft. So, whether it's our financial services customers or healthcare or government customers, when they are trying to leverage ServiceNow, hey, where are my assets? Are my assets healthy? Are they secure? Whether they are running on-prem, or in Azure, we have the best-in class partnership with Microsoft and that is definitely being noticed by some of our largest, as well as mid-sized customers, and brand-new customers.
Mark Murphy: Thank you for that extra texture and congrats.
Bill McDermott: Thank you very much, Mark.
Operator: We'll take our next question from Karl Keirstead with UBS.
Karl Keirstead: Okay, great. Maybe I'll direct this one to Gina. Gina, I know from the past when you've had strong Fed quarters that by virtue of those deals, they tend to have, I think, correct me if I'm wrong, a little bit more upfront RevRec. So I'm just curious, you laid out the impact on cRPO, but how does that strong Fed quarter that you saw in September impact the reported subscription revenue, and margins that you put up, and if you could, in any way, maybe size that lift given that, I think, there is more upfront RevRec? Much appreciate it.
Gina Mastantuono: Yeah, it's a great question, Karl. Actually quarter-over quarter, year-over-year on-prem has remained consistent. So that hasn't been an impact and so the strength in our revenue in the quarter was the result of extremely fantastic execution by the team.
Karl Keirstead: Okay. Good to hear. Thanks.
Gina Mastantuono: Thank you.
Operator: We'll take our next question from Gregg Moskowitz with Mizuho.
Gregg Moskowitz: Okay. Thank you very much. So it's really interesting that you signed four large deals on September 30th, literally, right after the availability of Vancouver, and Now Assist and it sounds like your GenAI Tech was a clear catalyst, if not the catalyst for these transactions. So I guess for Bill or CJ, I assume these were all existing customers, but did they all purchase Pro Plus, did any of them purchase Enterprise Plus or any have been deploying your new text-to-code functionality? Just curious to hear any additional color that you might be able to share. Thank you.
CJ Desai: Hey, Gregg. Thanks for the question. I'll take this question. I would say, just to summarize because we, in the Vancouver release, launched Now Assist for our four flagship product lines which is ITSM, HR, customer service, and Creator. So let's start with that, and those are all resonating whether our customers want text-to-code or text-to-workflow capabilities, or they want their employees to be more productive, or they want their IT staff or customer service agents to be more productive. So, depending on the customer, and what they solving for, all of them are resonating really well. So this was driven mainly on Pro Plus, but these were Pro customers, who also bought Pro Plus. So one example, one of the customers who did buy this on September 29th, specifically, said to me, hey, CJ, you know, we had the most successful ITSM roll-out. Now, we want to buy Pro Plus, and they're on ITSM Pro already, and we just want our employee experience to be great, versus another customer that Bill mentioned, they said, not only we want to solve for our employees, but also our end customers. So these four specific transactions were across the board, resulting in very strategic and significant wins. As we move forward, I would tell you that what is still resonating with our customers is the speed to value. This is not something where now large language models need to be fine-tuned for one customer at a time, and the way our engineering team has implemented this solution, I can tell you, Generative AI is probably one of the best, if not the best complement I have seen to ServiceNow platform, where you can use generative AI to look up something to summarize something, and then you take action via ServiceNow platform.
Gregg Moskowitz: Fantastic. Thanks, CJ.
Operator: We'll take our next question from Kirk Materne with Evercore ISI.
Kirk Materne: Hi. Yeah. Thanks very much and congrats on the quarter. Bill and CJ, I was wondering if you could just talk about the concept of starting to deliver AI solutions that are more vertically oriented. How far away are you from that? How much of the verticalization do you want to take on, and how much do you want to leave to your partners to sort of take some of these use cases with GenAI into verticals with specific vertical technology? Thanks.
CJ Desai: Thanks. So, first of all, Kirk, thank you for the question. When we start, and you know, yesterday we had our Board of Directors meeting and similar question was asked, we're first prioritized on our core set of use case that cut across every single industry. We are very focused on that, we are ITSM customer service, HR, as well as our Creator offerings. As we look forward though, there are specific use cases within financial services or healthcare types of customers or even government. So, I'll give you an example. Some of our public sector customers, they asked us, hey, CJ and the team, can you provide us a solution, that can potentially run on-prem, given the nature of that agency, and our engineering team delivered that for our public sector customer. So, I would consider that as a vertical solution, that we had to create, for our public sector customers. But as we take it to the next level, post this core set of use cases across our four workflows, we will definitely be prioritizing financial services and TMT moving forward.
Kirk Materne: Thank you.
Operator: We'll take our next question from Alex Zukin with Wolfe Research.
Alex Zukin: Hey, guys. Congrats on another great quarter. Maybe just two quick ones from me. Clearly, you know, the story of this quarter was the unbelievable Federal growth that you guys posted. Maybe ex-Federal, to the extent of the incremental challenges, or lack of thereof from the macro and pipeline, like, what's the story of the quarter ex-Fed, and then some of the deals that you guys referenced either on the Pro Plus side, or just a very large deal side, like, maybe talk a little bit about the competitive environment? Are you taking them away from some of your front office peers, or kind of how does that shape up as you look at the pipeline?
CJ Desai: Yeah, Alex, thanks for the question. This is CJ. First of all, you know, yes, Federal had a phenomenal quarter, and it's been talked about by both Bill and Gina, but we also saw strength in certain industries, and certain geographies across the board. We won't be able to produce these kind of results, and this kind of beat on cRPO with our strengths in other industries and other geographies. So that's what I would say at the highest level that there were a lot of other strengths, and even from a use case or a workflow perspective, Bill already outlined, that our employee workflow, which is now customers are asking us this question that we want our employee productivity to be high, and what is ServiceNow's solution because employees waste too much time swivel chairing or looking for information, so we saw significant growth there, but the growth was across the board, given from a workflow perspective as all four workflows grew very, very nicely. And Alex, you know, how much I pay attention to that. The second thing I would say on Pro and Pro Plus, what we are seeing is that customers understand ServiceNow strategy is very specific to ServiceNow use cases. And one of the things that I realized after having this Pro Plus conversations with customers on a large sample size that, generative AI or our Pro Plus SKU is a productivity multiplier. It's not a productivity enhancer. When you have a productivity multiplier, and you can articulate what kind of productivity gains they will get, that is when they say, okay, we got it. And now, let's forget what are the pricing, and other things. So, competitive dynamics wise, from a generative AI standpoint for overall this Pro Plus SKU, it is still in the context of ServiceNow. How much value will they get, how fast will they get that value, and how much they're willing to pay.
Bill McDermott: And, Alex, if I may build on what CJ said, I can give you some additional color, if you like. One thing that might be of interest to you is in Americas, the number of $5 million plus deals actually more than quadrupled year-over-year, and the number of $10 million plus deal doubled year-over-year, and I think as CJ laid out beautifully, technology and employee workflows were enormously successful. And in EMEA, our 1 million plus deals grew 70% year-over-year now, which means that the platform and multiple components of the solutions that our great engineering team builds is resonating, and we're seeing particular uplift now in government and manufacturing. And one interesting fact. We have these world forums coming up in London, Paris, Frankfurt, and Rotterdam, and we have 1 billion plus pipeline that's registered for those events. So, we feel good about that. And APJ, when you think about it, 1 million plus deals increased 40% year-over-year, and Japan is continuing to impress us with the unprecedented opportunity of the world's third-largest economy as Germany is as well. So, we're seeing lots of real growth opportunities on the global stage, and I think Gina pointed that out earlier as well.
Alex Zukin: Super insightful, guys. Thank you very much.
Bill McDermott: Thank you. Thanks, Alex.
Gina Mastantuono: Thanks, Alex.
Operator: We'll take our next question from Brad Sills with Bank of America.
Brad Sills: Oh, great, thank you so much. Looks like an uptick here in headcount this quarter, sales and marketing hires net adds, looks like more than 500 R&D, almost 400. Would love to get some color on some of those areas of prioritizing -- that you're prioritizing in the investment, both in sales and marketing and R&D. Thank you.
Gina Mastantuono: Yeah. Brad, listen, this is a tale of continued execution. We've been very focused on adding heads and investing in our R&D resources, and our quota-bearing sales. And so, you will continue to see us invest in those critical areas for us, and that's been something that we've been doing for quarters now. And so, we'll continue to add the quota-bearing sales, the direct sales folks, as we enter into '24. You could expect to see similar levels of growth as we enter the following year. So feel really good about where we've been investing in those same areas that we've been talking about. Quota-bearing direct sales heads as well as critical key engineering as we think about the great innovation that comes from our R&D and engineering teams across the world.
Brad Sills: Thank you.
Operator: We'll take our next question from Michael Turrin with Wells Fargo Securities.
Michael Turrin: Hey, great, thanks. I appreciate you taking the question and fantastic job with the Q3 results. Gina, you gave us some 2024 mile-markers at the Analyst Day earlier this year. It's now October, a lot's changed, but the growth profile is proven impressively durable throughout. Is there anything you're seeing that's meaningfully different here today versus where things were in May? It sounds more clear in terms of some initial value you're seeing from the GenAI capabilities, but there are there other swing factors we should keep in mind understanding Q4 is very important, but anything you can add is useful. Thanks.
Gina Mastantuono: Yeah, you know, Michael, thanks for the question. We don't provide formal fiscal year guidance until next quarter. That said, given our increase in revenue this year, we remain ever confident in the goal that we put forth back in May at Analyst Day for 2024 as well as 2026. The strength of our underlying business does provide solid momentum, and the potential for upside heading into '24, but as you said, Q4 is a big quarter for us. We expect great things, but it has a significant impact on next year. So, we'll wait for the formal guide, but feel very, very confident in the numbers that we laid out for you back in May, and stay tuned as we head into '24.
Michael Turrin: Well said. Thank you.
Gina Mastantuono: Thanks, Michael.
Operator: We'll take our next question from Samad Samana with Jefferies.
Samad Samana: Hey, Gina. I actually wanted to follow up on that. I had a different version of that question which is, just more precisely on GenAI when you gave -- when you gave the outlook at the time of the Analyst Day, there's, obviously, already a lot of discussion about AI with the products that have been rolled out, so when you gave the '24 targets, does that embed any potential impact from GenAI specifically, or was that something that was just on the horizon, or on the com that wasn't included, just for clarification. I've gotten that question a lot.
Gina Mastantuono: Sure. Yeah, Samad, great question. As you recall, at Analyst Day, we actually showed a lot of live demos of the work that we were doing around generative AI. We talked also about the fact that we're not jumping on this AI bandwagon, but we've been investing in AI for years and years and generative AI was part of that. So as you think about our roadmap and our plan, GenAI was part of that. Now, that being said, the interest, and the understanding, and the excitement about GenAI today versus back in May is extremely exciting to us. And so, if your question is, is there potential upside as a result of GenAI, absolutely, but one quarter does not a trend make. So we will absolutely continue to keep you posted on the adoption rate of our GenAI SKUs, but we are extremely excited about the pipeline build that we've seen already, and it's just been out for a very short amount of time. And yeah, so more to come on where GenAI goes for us, but rest assured, ServiceNow is going to be a winner in the GenAI space, and we're extremely excited about pipeline build, and where we are today.
Samad Samana: Great, and Bill, if I could squeeze one in for you, you've talked about how much interest and buzz that's been generated, and how it's increased the velocity of conversations. When you think about your Board-level conversations, are you seeing that the budget that's being carved out for spend on GenAI, is that being taken away from other parts of the overall IT budget, or is that, hey, this is a strategic imperative, and we need to find the money, whether we're growing our IT budget or not? Just how are they thinking about that -- those dollars and where they're trying to grow?
Bill McDermott: Yeah, Samad, the CEOs all have Boards of Directors, and they don't want to show up without a GenAI plan. So, this is a CEO-level decision, and I think that is why we meet with so many CEOs and the C-Suite is now completely embedded in the ServiceNow go-to-market plan, and it's working beautifully. What they are doing is as follows. According to IDC, the IT budget this year would have been about 3.5% spend, and next year, it's expected to go to, instead of incrementally increasing 3.5%, which is your typical year, it's expected, according to IDC, to incrementally go up 7%, and that's the IT budget itself. What I believe is going to happen, and based upon the CEO discussion that I'm having, and also based on my own way of thinking, I would very much like to take the position of looking at the world through the customers' eyes, and on them, 7% may or may not get it done. I might look to G&A functions to further fuel this generative AI revolution because this is really about business transformation, and truly transforming the way you run your company, and it's not a nice-to-have IT project. I do think that is one of the -- interesting question you have because, I think it's one of the reasons why I have said repeatedly the IT strategy has become the business strategy because digital transformation is an end-to-end imperative now generative AI across platforms that matter, and is only a few and we are one of them is really to me, going to get a very nice tailwind investment in 2024 regardless of the macro.
Samad Samana: Great. I really appreciate you guys taking my questions. Thank you.
Bill McDermott: My pleasure, Samad. Thank you.
Gina Mastantuono: Thanks, Samad.
Operator: We'll take our next question from Derrick Wood with TD Cowen.
Derrick Wood: Oh, great, thanks for taking my questions. I guess, either for Bill or CJ, but I was hoping you could expand on your new AI Lighthouse program with NVIDIA and Accenture. You guys announced this initiative a couple months ago. It'd be great just to get a bit more color on the undertakings around this program, and how these particular partners are helping to drive more kind of generative AI investments on the ServiceNow platform.
Bill McDermott: Yes, Derrick, you know, I'll start off, and then CJ can build on it. I'd like to first acknowledge NVIDIA, in particular, has been such a great partner, really taking their fantastic GPU technology, and then working hand-in-glove with them on fine-tuning these large language models, especially beginning in IT, but even more recognized that one of the great brands, and great companies the world is using ServiceNow, to transform their company on our platform with generative AI is such a complement. And so, I just want to say thank you, Jensen. Thank you, NVIDIA, for being a great partner. And yes, with regards to Accenture, and Julie and so forth, we are really doing some great things with Accenture. They are a fantastic partner, and we're building now generative AI use cases across 300 different customers with our ecosystem, and that doesn't even touch on the broader pipeline. CJ can give you some detail on exactly what we're doing, but I really do want to say that, I am incredibly appreciative of our partners, and I want to thank our partners for recognizing that we're a good partner, and it takes a good partner to know one, and we have really built foundational trust with the ecosystem and I appreciate them all, and I think that is another tailwind effect that we're getting because I believe we're moving into a world of not just intra-enterprise, but inter-enterprise business network opportunities, and I believe our platform in generative AI will fuel a completely new frontier of solutions, and offerings, and the global economy, and I think that this is only just begun. I just want to really give you that as a thought because we'll have more to say about that in the future. CJ?
CJ Desai: Absolutely, Bill. Right on. And, Derrick, you know, one of the things with this Lighthouse program that we were solving for is, have a great technology partner, and Jensen and the team are a great technology partner. Most of the -- most of us know NVIDIA as a great GPU provider among other engineered systems. But in this specific program, what most do not know is that NVIDIA's software team is working very closely with ServiceNow's engineering team, to really innovate on generative AI, and that is a very important point as part of this Lighthouse program is the engineering collaboration between NVIDIA and ServiceNow and a software layer, which, obviously, that pushes the hardware in the right direction. And then, when these customers, we talked about the four customers, there have been many, who start using this product, as they need to get adopted, besides Accenture, there will be other partners that we are also training, enabling so that they can implement really, really fast the solutions that come out of ServiceNow. So overall, this is a holistic strategy, engineering collaboration, and as Bill said, ecosystem collaboration, so that we can deliver the value for our customers. Customers' demands are high on the value that we will deliver, and we need great set of brands, technology, and system integrators to deliver the craft.
Derrick Wood: Thank you for that color.
Operator: And we have time for one last question. We'll take that question from Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Oh, great. Thanks for squeezing me in, guys. CJ, a question for you. A lot's changed in the observability market with the Splunk proposed acquisition. I'm curious, could you give us a sense for your positioning in the cloud observability market? With Lightstep and other advancements there, how well-positioned do you feel to gain additional share there? Thank you.
CJ Desai: Absolutely. So, you know, I would say observability is still fundamentally a big market. It's a big market that continues to grow. We started with Lightstep, and as you are aware that they provided a great solution for tracing, and with OTL as an OpenTelemetry, they had done some phenomenal work. Then we added the metrics capability, and just end of September we finally added logging capabilities. So now we feel that we have a full-blown cloud observability solution that we can take to the enterprise market, and we will compete head-on what the types of use cases, that we need to, with whoever we need to, and that's how I look at it. So, I'm optimistic. We have a lot of work to do. Finally, the product is there, full-blown cloud observability product between metrics, traces, and logging, we are ready to go. Thank you, Matt.
Operator: And that does conclude today's presentation. We thank you for your participation, and you may now disconnect. Goodbye.